Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the RF Micro Devices Q1 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode, and later we’ll be conducting a question-and-answer session and instructions will be given at that time. (Operator Instructions) And now, I’d like to introduce your host for today’s call Doug DeLieto. Mr. DeLieto, you may begin.
Douglas DeLieto: Thanks very much, Greg. Hi everybody, and welcome to our conference call. At 4 PM today, we issued a press release. If anyone listening did not receive a copy of the release, please call Samantha Alphonso at the Financial Relations Board at 212-827-3746. Sam will email a copy to you and verify that your name is on our distribution list. In the meantime, the release is also available on our corporate website, rfmd.com, under the heading Investors. At this time, I want to remind our audience that this call will include forward-looking statements that involve risk factors that could cause actual results to differ materially from management’s current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release published today as well as our most recent SEC filings for a complete description. In today’s release and on today’s call, we provide both GAAP and non-GAAP financial results. We provide this supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain non-cash expenses or unusual items that may obscure trends in our underlying performance. During our call, our comments and comparisons to income statement items will be based primarily on non-GAAP results. For a complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today, available on our website, rfmd.com, under Investors. In February, we announced a definitive merger agreement under which RF Micro Devices Inc. will combine with TriQuint Semiconductor Inc. in a merger of equals. On April 14, 2014 the new holding company currently named Rocky Holding Inc. filed a registration plus joint proxy statement on Form S-4 with the SEC. The filing may be found through EDGAR on the SEC’s website which is located at www.sec.gov under the company name Rocky Holding Inc. We urge you to read the registration plus joint proxy statement and other documents filed with the SEC as they will contain important information about the transaction. Now in fairness to all listeners, we ask that each participant please limit themselves to one question and a follow-up. Sitting with me today are Bob Bruggeworth, President and CEO; and Dean Priddy, Chief Financial Officer. I’m also joined by Eric Creviston and Norm Hilgendorf, who lead our Cellular Products Group and Multi-Market Products Group respectively, as well as other members of RFMD’s management team. And with that, I’ll hand the call over to Bob.
Robert A. Bruggeworth: Thank you, Doug, and welcome everyone. We’re very happy to report that RFMD delivered an exceptionally strong fiscal 2015 first quarter. Quarterly revenue increased sequentially by 24% to $316 million, gross margin expanded sequentially by 500 basis points to 47.1%, and earnings per share doubled sequentially to $0.24. Revenue, gross margin and earnings per share were all significantly above the guidance provided on April 29. RFMD’s execution to a financial model has produced a dramatic improvement in operating results. Gross margin has expanded year-over-year by 12 full percentage points and operating margin has expanded year-over-year by more than 15 full percentage points. RFMD’s financial performance reflects a number of factors including favorable market dynamics, crisp execution by the RFMD team, and a broad slate of structural initiatives targeting growth, diversification and margin expansion. RFMD is benefiting from multiple long-term secular trends that are in the early stages of adoption, they are supporting a wave of connectivity and inter-connectivity that is playing out globally across a broad range of wireless air standards. We are connecting in our homes, in the work place on our (indiscernible) in our cars and up to the cloud and back, this is distinctly favoring our RFMD in our ability to deliver highly integrated and highly specialized solutions that simplify design, reduce complexity and shrink product footprint. In doing so, we are accelerating the time to market of some of the world’s most popular devices and delighting our customers. RFMD is increasingly responsible for the link that connects the cloud with the underlying devices and networks enabling our connected world. RF is a critical building block enabling the Internet of Things and this is growing our addressable content opportunities. Looking first at handsets, half of the world’s handsets shipping today average less than $1 of RF content and that’s increasing to several dollars over a multi-year period as the demand for data requires incremental RF content. Whether you look at entry level devices or flagship smartphones, the RF content is growing generation over generation across market segments and geographies. That supporting growth for high performance RF solutions that’s well above the growth rate forecasted for handsets, in fact we see nearly a $1 billion of TAM growth in cellular RF this year and more than $1 billion of growth in the cellular RF industry next year. Compounding this, RFMD is enjoying broad based design traction in new growth areas like antenna tuning, impedance tuning, diversity switches, power management circuits, highly integrated antenna switch modules and RF Fusion. We are very excited to bring to market RF Fusion, which is a highly integrated RF front-end solution containing the industry’s leading components in one very small placement. We continue to expand our customer engagements on RF Fusion, and we plan to commence production later this year. The cellular industry is in the early stages of rolling out new technologies like envelope tracking, carrier aggregation and later Transmit MIMO, all of these expand our content and add complexity to the device thereby increasing the demand for highly integrated RF solutions. In the markets served by RFMD’s Multi-Market Products group, the broadband connectivity is proliferating across tablets PCs, PC peripherals, routers and access points, consumer devices, automotive, industrial and home automation and medical applications. We are expanding our product offerings and leveraging our leadership position across multiple long-range and short-range wireless standards to target the incremental growth opportunities in these complementary markets. RFMD is also a beneficiary of rapid deployment of infrastructure, especially LTE infrastructure in China, which continues to expand the demand for MPG, higher performance base station components. So from a very high level, RFMD’s fiscal 2015 is off to a very strong start. We’re pleased with our financial performance in the June quarter, and our outlook for the year anticipates revenue growth, industry leading gross margins, operating leverage, significant earnings per share growth and strong free cash flow. And with that, I’ll turn the call over to Dean.
William A. Priddy: Thanks, Bob, and good afternoon everyone. The June quarter was strong for RFMD with record revenues, record gross profit and record earnings per share. Revenue for the June quarter was up 24% sequentially to $316.3 million. CPG revenue was $261 million, and MPG revenue was $55 million. The revenue strength was broad-based and well diversified, and RFMD had two 10% customers. Gross margin for the June quarter increased to 47.1%, that’s up over 500 basis points sequentially, and 12 points year-over-year. Operating expenses were $70 million, compared to $74 million last quarter, with G&A of $11 million, sales and marketing of $16.5 million, and research and development of $42.6 million. Operating income for the June quarter was $78.9 million, representing approximately 25% of sales. Non-GAAP taxes were approximately $7.7 million, and net income for the quarter was $71.3 million, or $0.24 per diluted share, based on 294.6 million shares. Moving to the balance sheet, cash, cash equivalents and short-term investments totaled approximately $196.6 million. RFMD repaid $87.5 million of convertible debt during the quarter, and is now debt free. Cash flow from operations was $36.3 million, and free cash flow was $26.5 million. DSOs were 52.9 days and RFMD’s inventory balance was $142.9 million, resulting in turns of 4.9. Net property and equipment was $196 million, and capital expenditures during the quarter were $9.8 million, with depreciation of loan for an $8 million and intangible amortization of $7 million. Before we go to the guidance section, I’d like to provide some additional color on our much improved financial outlook. Which June gross margin above model and operating margin at model, you might be wondering what we anticipate going forward? The top line trends have been well established and we believe we are in the early innings of strong revenue growth. We are delivering product leadership and revenue diversification. 2G revenue now accounts for less than 10% of CPG revenue and 3G, 4G revenue continues to climb. RFMD’s comprehensive portfolio of industry leading products includes all the necessary building blocks to satisfy the industry’s most demanding specifications. We have streamlined our manufacturing footprint and we are laser focused on achieving the lowest possible call structure. In short, we’ve seen expanding TAM, coupled with much lower fixed cost and intense focus on all areas of products or costs. We believe the stage is set for continued strong margin performance at or above model, and significant leverage to the bottom line. Now, for the financial outlook and business commentary for the September quarter. RFMD expects quarterly revenue to increase to approximately $345 million. RFMD expects non-GAAP gross margin to be approximately flat to up 25 basis points sequentially. RFMD expects non-GAAP operating expenses to be approximately flat. RFMD expects a non-GAAP tax rate of approximately 10% to 15%, and RFMD expects non-GAAP earnings per share of approximately $0.27. With that, I’ll hand the call back to Bob for comments on our proposed combination with TriQuint, after which we’ll open up the call for questions. Thank you.
Robert A. Bruggeworth: Thank you, Dean. We at RFMD have often said, it’s an exciting time to be in RF. Today, we can say, it’s an even more exciting time to be creating a new leader in RF solutions, a leader with expertise in mobile device, and complex infrastructure and global defense applications. By combining two companies with highly complementary products and technologies, we are creating a leading market participant with significant revenue growth opportunities, excellent customer and product diversification, unmatched access to critical enabling technologies with broad manufacturing scale. We see NewCo unlocking significant shareholder value over multiple years in the form of cost, expense and revenue synergies. Looking at our markets, we see increasing revenue opportunities in the deployment of new communication protocols in both handsets and in underlying networks to support them, this robust environment is increasingly favoring the RF suppliers that can meet our customers and platform providers’ most critical requirements relating to performance, cost, budget and scale. Our industry is early in the adoption of 4G LTE and 802.11ac and even earlier in the adoption of carrier aggregation and Envelope Tracking. The proliferation of these technologies will play out over many years followed by cellular transmit MIMO. For NewCo, this means exciting growth opportunities. NewCo will combine the industry’s most comprehensive product and technology portfolios with a relentless commitment to achieving the industry’s lowest cost. We were at multiple revenue tailwinds at our back and the combined benefit of best practices from both organizations. We will combine the scale advantages and intellectual capital of two large industry pioneers with the agility and first mover advantages of a recognized technology innovator. As an update, RFMD announced on June 17, the exploration of the HSR Act waiting period satisfied one of the conditions required to complete the pending business combination with TriQuint. The business combination is still subject to approval by both TriQuint’s and RFMD’s shareholders, other required regulatory approvals and customary closing conditions. And we continue to anticipate successful close later this year. In the meantime, our companies continue to collaborate to prepare for the integration, we’re making tremendous progress, and we anticipate successful close this calendar year. And with that, we’ll open up the call to your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) And our first question today comes from the line of Harsh Kumar with Stephens.
Harsh V. Kumar – Stephens, Inc.: First of all congratulation Dean, Bob, not only a tremendous growth job, but also just tremendous job on balancing growth with some exceptional profitability. My first question on profitability, 500 something odd basis points of gross margin improvement, I’m curious how much more do you see on the horizon, just qualitatively, and then what do you think is the biggest driver, is it revenue growth or is it something else that will drive profitability in the future?
William A. Priddy: Thanks, Harsh. As you know, you never get to slice the ball in this business, because you only just finished your last quarter. But we continued our strength in our gross margin performance. You really have go back about five years to a turning point in RFMD when we began to shrink our manufacturing footprint. We shared the MDE facility, we’ve sold the fab in the UK, then we started talking about a lot of the cost savings initiatives that were best practices in the industry, global RQ, zero basing out (indiscernible) cost analysis and so forth. And when we aggregate all these things, we took about $150 million out of our manufacturing costs. So just that momentum alone is taking us to roughly the kind of margin level that you see today. And you may add, okay, what’s next on the horizon? Well we haven’t vanished all the cost efforts. Those are still ongoing, and we continue to add items to list, but what’s really important now is the proactive product portfolio management that’s being done in the business units; and also the design for cost efforts that’s being done by design engineering community. And I’m convinced that we will continue to be at, above our margin model for the remainder of this year, and let’s see where things go from there, because there is possibility for better performance than what we just posted.
Harsh V. Kumar – Stephens, Inc.: Hey, thanks Dean. And as my follow-up let me ask about China. There is lot chatter and again I don’t know if it’s correct or not, but there’s a lot of chatter that may be out to you folks, I’m doing as well, I just wanted to ask you, there is some sort of a number floating around $100 million LTE phone number do you have to have number to hit your internal targets or your margin targets at all?
Robert A. Bruggeworth: Harsh, this is Bob. Let me share with those on the phone what we’re hearing. What we’re hearing is, we are seeing the migration of 2G, 3G phones to 4G phones. We are very early on in that adoption rate, very early in the process. And quite honestly, our margin performance as Dean said has really been through a lot of great work by the organization of taking cost out, managing their product portfolios and designing products for costs. So what we see is great tailwinds in our industry coupled with a lot of great work that our team is doing to continue to drive our top line and our bottom line in the future.
Harsh V. Kumar – Stephens, Inc.: Hey guys, thank you and congratulation on a tremendous job.
William A. Priddy: Thanks, Harsh.
Robert A. Bruggeworth: Thanks, Harsh.
Operator: And next, we’ll move to Mike Burton with Brean Capital.
Mike Burton – Brean Capital LLC: Hey guys, congratulations; very, very impressive results and guidance. Just following up on that, you spoke about the strength being pretty broad based, I’m hoping you can help us understand how much of the sequential improvement you’re expecting in September is related to the top tier versus China, and how big is China right now versus the tier ones at this point?
William A. Priddy: Eric, would you like to talk a little bit about the growth you’re seeing?
Steven Eric Creviston: Sure, even in June we had actually totally upside to what we guided was due to high tier, actually in LTE smartphones, and we think that’s of course going to carry today end of September. We do expect China to be strong, but if you kind of rank the growth drivers for CPG, at least in September, the top two are going to be our top two customers, but marquee flagship phone launches which typically come out in the fall, and then China will be there as well adding some of the growth.
Mike Burton – Brean Capital LLC: Okay, and then both (indiscernible) provided us some insight into – their insight into the December quarter, I know it’s clearly too early to guide for it, but given some of the ramps you are heading in your business right now and I wonder if you could provide us some of your thoughts on how to think about the December quarter and seasonality for the industry? Thanks.
Robert A. Bruggeworth: Yeah, I’m not sure, exactly, Mike what they said as far as seasonality goes into the December quarter, but it’s currently our expectations. From an industry perspective, we do expect growth. So, obviously, as we plan to continue to grow as fast as the industry – or as fast as the industry and that’s our expectations at this time.
Mike Burton – Brean Capital LLC: Great, thanks guys and congrats.
Robert A. Bruggeworth: Thanks you.
William A. Priddy: Thanks Mike.
Operator: And next from Bank of America/Merrill Lynch, we will hear from Vivek Arya.
Vivek Arya – Bank of America/Merrill Lynch: Thanks for taking my question. Great job on delivering gross margins and I believe exceeding everyone’s expectations, probably your own expectation I would imagine the cost synergies that you had outlined $150 million that RFMD and TriQuint getting together. Is that still incremental to what you are delivering right now? Or do you think that some of those might have been pulled forward in the performance that you’re showing? Or are those still incremental to the model?
Robert A. Bruggeworth: Vivek, this is Bob and I am going to take that. I believe on last night, our colleague at TriQuint said that we’re absolutely committed, once we bring together these two companies to achieving the $150 million synergies, so nothing has been brought forward. It will be our additive to the results that we’re – both of us will be putting up for the year.
Vivek Arya – Bank of America/Merrill Lynch: Got it. That’s very helpful Bob. And then, second is you’ve mentioned growth in both the high-tier and in China. There is a concern that one of your larger Asian customers is not doing perhaps as well from a unit perspective. And I am wondering, if you could give us a sense for what you’re seeing it from a content perspective and how much of what you are hoping for growth in the back half is dependent on that customer? Or is it a more broad based growth profile that you’re seeing?
Robert A. Bruggeworth: Yeah, Vivek, I don’t like to comment on anyone customers you all know, but we’re expecting growth but our top customers dropped the balance of the year and it’s really as much about the dollar content increases that we’re seeing. Again of this major shift from 2G to 3G and 3G to 4G LTE, you know, driving a lot of content because we’re going from dimes to dollars, I mean, that’s really part of this and the unit demand for the year and handsets actually be flat in total units, but the RF content is going to be up significantly.
Vivek Arya – Bank of America/Merrill Lynch: Great, Thank you.
Operator: And next up is Edward Slighter with Charter & Equity Research.
Edward Slighter – Charter & Equity Research: Thanks a lot, a Jeez so over 47% which is rather surprising to be frank even what we’ve talked about last year, remind us how long is your cost reduction program been in play and is it fair to assume that further gains in the gross margin more mixed in cost reduction related from In & Out and then Eric, can you give us a general idea where your mix stands in terms of CPG, SOI versus GaA and should reassume the margins on your ETP mix or somewhere between say your GaS margin, your SOI switch margins, in your silicon but probably may be SOI, sorry for the questions but can you remind us is that product qualified on more than one base span at this point?
Robert A. Bruggeworth: Yes, I will start within and try to remember all the questions along the way. Actually the margins not surprised us, I mentioned at Stephens conference earlier this year that our margins were tracking ahead of what our guidance was, so we knew the end that there was going to be a big quarter, great quarter from margins and yeah we’ve been talking now for two to three quarters that we fully expect RFMD to achieve the industry leading gross margins. So absolutely it’s not a surprise internally because we’ve had this goal now for quite a while. And yeah, a lot of the cost reduction efforts that have contributed primarily to the margin improvement. Also some of the tough decisions on manufacturing foot print and also the flexible sourcing strategy that we have. And the future are – definitely our product portfolio maintenance and management will play into the margin but we are going to maintain that and focus on product calls. I think you have to have that in order to continue achieving the industry leading gross margins. And just a couple of metrics to you, in the past five years our depreciation as percent of sales has gone from just under 10% down to about 4%, so we are actively managing our capital base along with the product call structure, and also it’s slight loss when you look at our balance during that timeframe and how much revenue we can now achieve on such a lower capital base for the company it’s a new day for RFMD.
Robert A. Bruggeworth: Eric, do you want to address?
Edward Slighter – Charter & Equity Research: The question is about mix between us, so I guess…
Steven Eric Creviston: Yes, I unfortunately not able to break that up for you because more and more our products contains both as we move to high levels of integration we have many of our powers of our products, but also switches embedded in them and that trend is going to continue, so I think SOI is a important part of our portfolio, so question that differentiation we brought though SOI technology in commercializing that in the RF frontend and especially in switching and as you know in tuning has been phenomenal and that’s driven a lot of our growth (indiscernible) is doing really well and more and more the trend is about putting those altogether and adding filters as well into the complete footprint like RF Fusion. When we talk about ET power management I see – I’m not going to give you the specific gross margin, it’s a good margin product, accretive to our average. We do have qualified on multiple base bands and in fact for ramping productions today for multiple LTE base bands that will be shipping in production in this fall.
Edward Slighter – Charter & Equity Research: To Bob one final one. Now that – your margins are strong as they are and I’ll imagine a lot of this additional gains will come, EPS will come from revenue growth. Are you going to allow OpEx to start expanding, to take advantage of what I imagine a numerable opportunities for design and what is that look like once you emerged with? Are you looking at – because there is number of opportunities would be facing when you have all the filers and housing all the stuffs that you have specially the integrated part, could be a – could be very significant, should we expect maybe OpEx to move a little bit up in our periods?
Robert A. Bruggeworth: Yeah, that’s completely independent, we’re going to continue to pull this for margin strain and we are going to continue to very tightly control operating expenses. So, I think what you see this quarter is probably what you can see throughout the balance of the calendar year and as we merge with NewCo. we have a status financial model 45% growth margins and 20% operating expenses as a percent sales. Now, we believe RFMD will be very near to that, if you take over $345 million guard in our operating expense – so for operating expenses will be near to that in the September quarter. As we become NewCo, we will be running ahead of that, however we have pointed out significant synergies that are achievable at NewCo, some of which will be realized in year one, some of the year two synergies. So our intent is to drive to a financial model, both here at RFMD that you’re seeing today and also as NewCo forms.
Edward Slighter – Charter & Equity Research: How long is your cost reduction program been in place, actually been implemented?
Robert A. Bruggeworth: Yeah, like I said it’s been a journey where you start with some very tough decisions on manufacturing footprint but broad of the $130 million or so has been over the past 15 months.
Edward Slighter – Charter & Equity Research: That’s fine. And then final question. Eric, SOI wafers, it’s pretty widely known at the very tight capacity issues right now, lot of guys are waiting for SOI products, how many sources do you have for SOI and how many are interchange and what’s your largest customers about, you can switch between different vendors without having to recall, thanks?
Steven Eric Creviston: Thanks for the opportunity, our supply base has just done a fantastic job of supporting us in the ramp and in our business in SOI for that I appreciate, we do have multiple sources as you pointed out, we are able to qualify our products at multiple sources and shift them to multiple customers, so just team has done a great job of qualifying this, our customers have done a great job, I really do want to thank our supply base for allowing us to be able to grow and continue to grow our business going forward.
Operator: And next will move to Steve Smigie with Raymond James.
Steve Smigie – Raymond James: Great, thanks a lot guys and congratulation on the nice numbers particularly on the margin side. Just curious on the 150 of synergies, now both of you have had significant improvements already, are the thing that you were planning to get the synergies from the same thing or is it shifted?
Robert A. Bruggeworth: There has been no change.
William A. Priddy: No changes.
Steve Smigie – Raymond James: We also saw last night with (indiscernible) they had walk away with some revenue and I was just curious that you guys would potentially be walk away enough revenue to that magnitude that it might implement the revenue related to the expectations for the next couple of quarters?
Robert A. Bruggeworth: I can’t comment specifically but I believe some of that with our foundry business but we’re not walking away from any business, we’ve got a 100 group as we’re going to get as much business as they can.
Steve Smigie – Raymond James: Okay.
William A. Priddy: Yeah, I might point out that the margin structure on all of our products have improved because of the steps that we’ve taken across our supply chain and our manufacturing facilities I mean we’ve taken 40% or better out of the variable calls for wafer in our Gallium Arsenide facility so what might have been lower margin products to us, two to three years ago are perfectly good margin products to us today, so we are opened for additional business.
Steve Smigie – Raymond James: Okay. Last question just on $150 million, at this point what would you say is that the top driver in terms of synergy that you would expect to get? What will have the biggest impact?
Robert A. Bruggeworth: Well in the NewCo area, there is the assembly where RFMD currently does, most of its assembly internal and I think that’s an opportunity for TriQuint since they do most of their or do their assembly external. So we will be bringing as much of that in-house as quickly as possible. Also on filters as we begin sourcing filters internally as opposed to externally and there is always – when we look at the manufacturing footprint, we’ll be (indiscernible) that hard and see what’s optimal for new NewCo. On the expense side, there are redundant positions and you don’t need to this or to that and – and so there will be some synergies related to redundancy and there is also savings related in areas like insurance and audit fees and so far. So we have specifically identified every synergies required to hit the $150 million and we would like to keep ongoing reserve.
Steve Smigie – Raymond James: All right, that’s great. Thanks. Congratulations.
Robert A. Bruggeworth: Thanks you.
Steve Smigie – Raymond James: Thanks Steve.
Operator: Next from Craig-Hallum, next we will hear from Anthony Stoss.
Anthony Stoss – Craig-Hallum: Hi, guys. My congrats is on the gross margin front and I think in the last conference call, you’ve talked about the 75 actual programs in gross margins insurance. It looks like that we’re all hitting at the same time, so congrats there. Two potter, TriQuint talked about and raised their contribution margin last night from 50 to 55%, I love to hear where you think RFMD is at contribution margin right now? And then second part of my question is production capacity. I love to hear what you think you guys can get out of the plant now per quarter and also you’re CapEx plans? Thanks.
William A. Priddy: Yeah, our contribution margin was at normally how this quarter (indiscernible) increase in gross margin quarter-over-quarter. Its margins begin to stabilize. The contribution margin is probably somewhere in the 50% to low 50% range, so it’s not that just similar from what TriQuint says yesterday. Regarding CapEx, where we’re targeting capital expenditures is primarily assembling task which is extremely quick payback areas and also some areas that we see – we’re going to be able to sit towards very, very quickly for NewCo and I can’t remember the third part of your question.
Anthony Stoss – Craig-Hallum: Your production capacity right now.
Robert A. Bruggeworth: Production – actually the utilization rate in our gas facility didn’t really change so much quarter-over-quarter. We can easily get out 30% to 40% more production out of that facility. So again, we’re able to achieve our margin targets without so much increases in utilization as it was pure cost reductions. So again we can get quite a bit more gallium-arsenide base revenue out of our existing bricks and mortar.
Anthony Stoss – Craig-Hallum: Okay. And then somebody asked, I love to hear kind of your thoughts on your MPG Group in terms of demand, and what they are saying in growth?
Norman A. Hilgendorf: Yeah, sure. Hi, this is Norm. MPG has been holding steady with a couple of key growth drivers last quarter. Wi-Fi has continued this trend, we had some growth last quarter, and then have real strong backlog for this quarter as well. Nice mix there as well as we’ve get renewed CPG strength here, we’re about 50/50 mix in our Wi-Fi business between mobile and non- mobile business. Good activity with our reference design, partners and chipsets, so it’s a lot of new reference design wins for both mobile and for enterprise equipments. In our customer base in Wi-Fi it’s really nicely diversified as well. We were more concentrated a year ago, and now as we’ve got a nice healthy mix of customers throughout our Wi-Fi business. In wireless infrastructure, I think it’s the other market we should really mention right now, we had a strong pick up last quarter on the back of the LTE build outs in China. And that stayed strong for us, I noticed some noise about, maybe some choppiness in some orders, but for us this has been staying steady. We didn’t get too far ahead on inventory builds with the customers and the business is rolling right on into the current quarter. And we expect this to play out over the next couple of years, there is a lot of equipment to build out there.
Anthony Stoss – Craig-Hallum: Good job, guys. Thanks.
Norman A. Hilgendorf: Thank you.
William A. Priddy: Thanks, Tony.
Operator: JoAnne Feeney, ABR Investment Strategy has our next question.
JoAnne Feeney – ABR Investment Strategy: Yeah, thank guys, and congrats again. I guess I’d love to get a more detail on the China, last quarter I think you said that China was in the low 20% range of your mobile business, I’m wondering if it’s still that way, and given your earlier comment about growth, next quarter being or this quarter being Jim, primarily by your top two customers, where you anticipate that settling, since it’s likely to be shrinking over time, and I’ll do a follow-up after that. Thanks.
William A. Priddy: Norm, would you like to take that as far as the type of business and our outlook for China.
Norman A. Hilgendorf: Yeah, so China was certainly strong in the June quarter of course based on the rollout of the 4G systems, and when we look at the kind of China white box, it’s still roughly about 20% range. There are a few of the – like the top five China OEMs are really becoming much more like all the other global OEM. So we’re doing very, very well with them as well. We were talking about Huawei, Lenovo, Coolpad (indiscernible) Oppo those guys. They are really becoming global top tier OEM. So we are beginning to break them out separately basically. And hence we go forward, we really want to continue to drive to where our – split of our revenues aligns with their market share in the end markets. So it will depend of course if China continues to grow as a percentage of total, and those top tier OEMs continue to grow share in the market though, that will become bigger for us. But if not you know the top two we have, they will continue to be the top two. So it’s really, I think we’re broad based, our shares in each of these companies are roughly in line are the same. And I think with all the relation, with our businesses we have a very broad portfolio of products. So we’re not as well, so don’t get the shifts in architectures or platforms or tiers because we’re generally represented across all the tiers, all the platforms, and power, flyers, switches, tuners, power management. So a broad portfolio and that also helps us pretty much stay in balance in terms of just keeping our share of revenues aligned with the customers in market share.
JoAnne Feeney – ABR Investment Strategy: That’s very helpful, thanks. And then a question on visibility to the second half, TriQuint noted last night that they are very confident in their second half builds, but they have some uncertainty about exactly the timing of when they’ll shift components to their lead customer. So I’m wondering if you could talk about what you are seeing for visibility over the next couple of quarters, and it sounds like you are seeing strength a bit earlier than they are and perhaps you could explain why that might be the case?
Norman A. Hilgendorf: As far as visibility goes I’d say it’s pretty normal for what we typically see at this time of year, we’ve got the timing of some more key forms that are always picking off in the second part of the year and, from a visibility perspective we feel confident and what we’ve guided to and our outlook for the second half of the year, so, we kind of see things as normal.
JoAnne Feeney – ABR Investment Strategy: Okay. That’s helpful. Thank you.
Robert A. Bruggeworth: Thank you.
William A. Priddy: Thanks Julian.
Operator: And next we'll take Cody Acree with Ascendiant Capital. 
Cody Acree – Ascendiant Capital: Thanks guys. William, Mike and Rob. So no would have mentioned that infrastructure inventories looked pretty comfortable maybe could you talk about your inventory visibility in the handset market in China.
Steven Eric Creviston: As far as handset inventory in China, we are not think we have been seeing is – what we are hearing is we’ve got this massive shift 2G,3G to 4G and what we are looking at it as a multiyear event that’s going on and for us it’s gone from dimes to dollars, macro trends we are not hearing anything but pay attention guys. This massive shift is going on and taking place, so please continue to support us.
Cody Acree – Ascendiant Capital: I guess Rob the China is typically proven to some booms and bust of the inventory around seasonal trends, the seasonal build especially times, when you’re seeing subscriber growth like this. So I guess to what extend do you see visibility at your OEMs and matched as a sell through?
Robert A. Bruggeworth: As Eric pointed out, we are playing with the major players, and I think Duckworth visibility. We see their production plans, we see what their sell-throughs are? We have meetings to talk about those things, I would say our relationship with them are no different than what we have with Samsung or other leading OEMs.
Cody Acree – Ascendiant Capital: And then there has been some speculation recently about maybe the Chinese governments getting a little tighter on regulatory approvals maybe not better protectionism in their light and I guess to what extend do you have any visibility or are you concerned about Chinese approval of the merger?
Robert A. Bruggeworth: No. We continue to see this transaction between try put in order can be closing in the second half of this calendar year just as we originally released in the press release.
Steven Eric Creviston: We are moving right through the process right on schedule.
Cody Acree – Ascendiant Capital: And then lastly, maybe for Eric. Our fusion and thanks for the update there, could you maybe go through in compare and contrast our fusion to what you are seeing on Sky one and maybe even out of our 360 and how your customers are receiving that and looking at the different options?
Steven Eric Creviston: Sure. I think the question on that the global trend its towards higher levels of integration. So you mentioned a couple of other solutions that’s out there and what we are really all trying to do is enable the proliferation of LTE and help our customers get to market quicker, with better performing and said that can match the global needs of mobile data. And so, we are integrating in a very high level, what we are going. We believe differently is starting with best in class component technologies. We have to say as part of the margin expansion we seem to tie this all in, it’s the fact that we have been ahead of the trends in the industry we’ve been investing per leadership at the component level. Now we brought a very differentiated products solutions. And that also as contributing toward what you are seeing in the financials today and taking those then working with customers with our architecture and systems engineers and advance packaging technology, its really bring out the world's smallest and highest performance RF front ends to the solutions, that what we believe we have with our fusion. The first as we said before that we spent the time getting the component technologies reflected in our doing the integration level with the best six customers now and many multiple hands that can easily be go into production soon.
Operator: Next we’ll move to Quinn Bolton with Needham & Company.
Quinn Bolton – Needham & Company: Hi, guys let me add my congratulations on the strong performance. Just Eric wanted to follow-up on that RF Fusion question. Can you give us some sense how many frequency bands are you typically supporting in RF Fusion and I’m sure you have a product family here, but I just trying to get some sense of the dollar content you might be looking at with RF Fusion.
Steven Eric Creviston: Right, it is typically what we’re finding is – is the solution is well suited to the mid year we have of course 2G functionality in there and then between six and eight bands of 3G, 4G are generally included, in some solutions we have the ability to tap out where we have all the power suppliers internally, but we can tap out for external filters to make them bands specific. We’re really seeing a lot of excitement with the customers that the things they can do with us a very flexible, scalable solutions like this for the vast majority of the R&D is absorbed into this one single placement FOX and then they could still customize for different product and regionalization by adding different filters for example on the outside. So it will vary and but we think in general, it’s a very highly compact solution that means six to eight bands of 3G to 4G usually within the box.
Quinn Bolton – Needham & Company: Great. And then just Transmit MIMO is mentioned a couple of times in the prepared script. When do you see Transmit MIMO starting to be deployed and then I’ve got a couple of quick questions for Dean.
Steven Eric Creviston: Yeah, we are already working with platform providers and a few lead customers to architect solutions and look at what the trade-offs are going to be, it is a very challenging problem for the RF space which is fantastic for us. We really like taking into these kinds of problems and again getting in front of them with advanced technologies to help enable that. So, to answer your question directly, I think 2017 is a probably the time when you could begin to see commercialization of Transmit MIMO.
Quinn Bolton – Needham & Company: Great. And just for Dean, it looks like the tax rate for this quarter somewhere in the range of 10% to 15% any change in your sort of tax rate thinking going forward I think it typically been more in the 15% range, so just wondering if you guys have done things as part of the cost reduction efforts to lower that tax rate?
William A. Priddy: Yeah. Thanks for the rest of this fiscal year we’ll see something in the range of 10% to 15%.
Quinn Bolton – Needham & Company: Okay, and beyond – just looking into next year that sort of similar range or too earlier to call?
William A. Priddy: Yeah, well beyond and you are assuming that NewCo is in existence and as you know there are so many variables at play there, you may see the tax rate temporarily tick up just a bit, but we’ve got lot of the opportunity for some significant tax paying strategy and I believe that our merger partner has done a very, very good job in those strategies already, so we fully intent to take advantage of that.
Quinn Bolton – Needham & Company: Great, thank you.
Robert A. Bruggeworth: Thank you.
Operator: Next we’ll hear from Tom Diffely with D.A. Davidson.
Tom Diffely – D.A. Davidson: Yes, good afternoon. So obviously you guys have a very broad portfolio of products. I’m curious though do you believe that the switching is where you have the biggest competitive advantage, where you might get the most growth on a relative basis going forward?
Robert A. Bruggeworth: Actually, I would say the most growth going forward is going to be leveraging all of them in one application. As we said, the opportunity for us is to take each of these differentiated component technologies and really create something very differentiated by putting them all together in unique ways for customers. I think that’s really the keys to the future growth.
Tom Diffely – D.A. Davidson: Okay. So on the competitive front, is there any certain areas where you see a lot less competition on a component basis that gives you more of a benefit when you move to system or is there really just ability to have that complete system outperform your competitor’s compete system that’s the key?
Robert A. Bruggeworth: Well, really the fact that we’re going to that complete system is really a key part of the competitive dynamics is very few companies can do. Especially when we get NewCo we combined truly best in class filter technologies across all the different types right (indiscernible) all within one house combined with the best in class switch technologies and power amplifier technologies with the systems architects that we have and the packaging capability that we get from both companies. And you just get to the point where there is very, very few people in the world that can do that.
Tom Diffely – D.A. Davidson: Okay, thank you.
Robert A. Bruggeworth: Thank you, Tom.
Operator: (Operator Instructions) All right. Next we will take a follow-up question from Harsh Kumar with Stephens.
Harsh V. Kumar – Stephens, Inc.: Hi, guys I wanted to ask a question that’s not short-term or not about the numbers. Let’s assume hypothetically you had a large competitor wanting to play in your space with lots of funds. How hard Eric or Bob will it be for somebody getting, given that you have to have competency in switches, peers, carrier rag, WiFi. Is it just about the money or the funds or is that just more – is that so prohibitive now with all these complexities.
Robert A. Bruggeworth: I think, Harsh in 2G I would say the barrier was a lot lower. 3G maybe a little bit higher, 4G much higher and now as we – now bring together as you pointed out all these different technologies and capabilities. It’s one thing to have a disciplined in one of them, but to bring them altogether and really understand, how to optimize the performance and leverage the advantage of each one of the technologies is pretty complex and takes a lot of learning. And it takes a large number of people, the good news for our industry is customers as they are pointed out, when you describe the RF Fusion, it’s not a one size fits all it has to be flexible and scaleable, so you also need a large group of very experienced RF talent, and quite honestly in the world today, there isn’t a lot of RF experienced talents and we’ve done a good job along with TriQuint and some of our other competitors are building up a strong team and it takes the team a large team to be able to enter this markets. We’ve seen several people over the years enter and exit the market and very few of us has stayed there the whole time and what it does take is the proper technologies on the right road map with the right team and the right customer relationships to be successful.
Harsh V. Kumar – Stephens, Inc.: Hey Bob, as a twist to that question. Can I ask you, if there was a third party that offer to buy a bunch of these products from you guys in the industry and put it together. Is there a room, is there role for such guys are will company such as yourself and Skyworks in Avago was, but you can do this yourself.
Robert A. Bruggeworth: Harsh, how much I understood the question. But, if you are asking what our industry a lot of margin sacking and getting between us and our customers, our current customer base, I am not so sure that model – business model would actually work.
Harsh V. Kumar – Stephens, Inc.: Got it. No I think you answered my question. Thanks guys. Congratulations again.
Robert A. Bruggeworth: Thank you Harsh.
Operator: Next we’ll hear from Edward Snyder with Charter Equity Research.
Edward Snyder – Charter Equity Research: Thanks. I will give you my second half of my questions. Dean, the cost reduction program that I believe you were right is that still in full swing now or now that you got most of your margin things you are kind of winding it down, I know you concentrating on cost, but I mean one of the questions is how much more can be squeezed out of that just give an idea where there is any arc of the curve. And then Eric on your ET program you said you qualified with two base line vendors now. Do you expect to shift product with two vendors say between now and the end of the year?
Robert A. Bruggeworth: I can answer that second one very quickly, yes. And I can only say I was part of the great team in the cost reduction efforts. They touch so many organizations and it's now also touching the design engineering community and throughout the company. So it's really been a companywide project. And you ask how far a long are we or what was the second part.
Edward Snyder – Charter Equity Research: The second part is how much you guys are in such a big gain in the gross margins and the program has been swing for like you said 15 months just over a year. So the big question is how much more capacity we had from cost reductions giving you right now. And so, I am just trying to get idea what you see it in the arc of the curve, I mean obviously, when you first started this all ahead of you now it would seen the most of its behind you.
Robert A. Bruggeworth: Yes. A good part, a good part percentage of the $150 million in cost reductions is factored into the numbers now, not all of it, but a good percentage of it. But the second thing Eric mentioned that the product portfolio and what’s going on there I don’t think that’s been fully baked into our performance going forward and also I mentioned the design for costs. That’s a huge element of the suitability of the margin profile going forward. So, I mean we are continuously adding new projects to the cost reductions. I mean that the list of 75 to 85 may be little down now to 35 or 40 but each month we continue to add projects to the list. So we see it’s an never ending journey of the relentless pursue of cost reductions and the intersection of product leadership. We think that’s going to give RFMD the highest margin structure in the industry and we will sustain that.
Edward Snyder – Charter Equity Research: And final question TriQuint said several times now including the yesterday’s call that customers have actually asked them to work closely with you on product development and apparently if it’s a customer request it doesn’t fall under the anti-trusts provisions et cetera. Has that started in earnest or you working is it spread across all customers is it only a couple of them or they largely small and it has started in earnest so that just maybe a shorter time to market after the companies merged to get products that are combining both of your sweet of devices.
Robert A. Bruggeworth: Ed we have find three way NDAs between our customers TriQuint and ourselves so that we can get our technology and product growth that’s a line for our customers as you have just commented it was they request not ours. I know a lot of people asked what was the customer reception like and I am talking leading Tier 1 OEMs have asked us to work together with three way NDAs so that they can take advantage of the bringing together on the technologies and architectures that we bring together that Eric start to talk about. So, it’s being embraced very well by the industry.
Edward Snyder – Charter Equity Research: Thanks.
Operator: And gentlemen we have no further questions at this time. I’ll turn it back to you for any additional or closing remarks.
Robert A. Bruggeworth: We thank you for joining us tonight. RFMD is enjoying positive market dynamics creating sustainable long term opportunities for revenue growth and versification. We’re positioned better than ever to translate our diversified growth into superior financial performance. Thanks again and good night.
Operator: And ladies and gentlemen should you like to access a replay of this call, you can do so by dialing 1888-2030-1112 and recording will be available from tonight at 8 P.M. Eastern Time for one week until July 31 again at 8 P.M. Eastern Time. And once again that number is 1888-203-1112. Again that does conclude today’s conference. We thank you for your participation.